Operator: Greetings and welcome to the MiX Telematics Fiscal Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I'd now like to turn the conference over to your host Mr. John Granara, Chief Financial Officer for MiX Telematics. Thank you sir, you may begin.
John Granara: Thank you and good morning everyone. We appreciate you joining us to review MiX Telematics earnings results for the second quarter of fiscal year 2022, which ended on September 30, 2021. Today, we will be discussing the results announced in our press release issued a few hours ago. I'm John Granara, MiX's Chief Financial Officer, and I'm joined by Stefan Joselowitz, or as many of you know him, Joss. He is President and Chief Executive Officer of MiX Telematics. During today's call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For a discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There's a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. And with that, I will turn the call over to Joss.
Stefan Joselowitz: Thanks John and thanks to all of you for joining the call today. MiX's second quarter financial results reflects continued improvement across our business and encouraging signs in some of our key end markets. We've delivered our second consecutive quarter of year-over-year revenue growth and subscriber expansion since the start of the pandemic. Although market conditions have not returned to pre-COVID levels, our performance in the first half of the year is a clear demonstration that MiX is trending in the right direction. I stated upfront number one objectives for fiscal 2022 to return to growth and we are delivering on that goal. Looking beyond fiscal 2022, we see a number of encouraging market trends that we believe will support our ability to drive steady improvement towards our long-term financial targets of 15% to 20% constant currency subscription revenue growth and 30% adjusted EBITDA margins. We will continue to manage the business prudently through the near-term challenges, while ensuring that we're making the right product and better market investments to fully capitalize on our growth opportunities when market conditions return to normal. I will quickly summarize our financial and operational results for the second quarter. We ended the quarter with a total base of 766,000 after adding 16,700 net new subscribers. This is nearly double the number of subscribers we added in Q1. Subscription revenue was $30.9 million, a 2.9% increase year-over-year in constant currency. Notably, our annual recurring revenue or ARR ended the quarter at $128 million, up 2.5% sequentially, and a 5% improvement year-to-date in constant currency. Adjusted EBITDA was $7.9 million or 21.9% margin, which was in line with our expectations for the quarter. I'd like to highlight some of our key wins. A large multinational customer in the construction industry renewed their global contract with us for another three years. We now help them manage as a 9,000 vehicles and drivers in 18 countries. We signed a new win with McGill's Group, the largest independent Dutch operator in the United Kingdom, who chose MiX as its connected fleet provider. McGill's will be deploying our premium fleet and seat and MiX vision AI powered camera solution into their buses as part of its efforts to improve driver training, compliance, safety, and overall efficiency. Newmont Corporation, a worldwide mining leader assigned a global agreement with us covering North and South America, Africa, and Australia. Their aim is to improve overall fleet safety and compliance, reduce driver risks associated with remote site operations, and enhance operational efficiencies. Intercape, the largest intercity bus operator in Southern Africa renewed and expanded its agreement with MiX for their fleet of over 300 vehicles for another five years. Intercape neutralizes MiX’s premium solution, including MiX Vision AI to alert drivers and managers to unsafe or risky driving behavior that impacts road safety. We started a multi year extension of the major Australasian logistics company to deploy MiX Fleet Manager and MiX Vision to its 3,700 vehicles in essence. With our platform, MiX customers were able to increase safety and speed utilization, simplify regulatory compliance and seamlessly connect 10 million trucks with a driving data into their business systems. OMV Petrom, a large energy sector operator and long standing clients of MiX has upgraded their solution and renewed their contract, providing another long-term commitment for a full feature. Overall, we are pleased with the improvement we saw in sales activity in the quarter. We continue to see strong growth in our pipeline across regions and product categories and are now starting to see sales cycles normalizing in certain sectors as fleet customers gain confidence in the business outlook. Looking at our performance by solution category, our Premium Fleet business was the biggest contributor to Subscriber Edge during the quarter. We were particularly pleased with early signs of improvement in energy sector. One of our largest oil and gas customers started adding back some of the vehicles with previously thought during COVID-19 downturn. There are police signs for this market that it continues to be difficult to gauge the right and improvement going forward. We enjoy the solid performance from our live feed business, Subscriber Edge continue to track well versus pre-pandemic levels, and we are seeing continued improvement in churn amongst this customer base. Our asset tracking results were mixed during the quarter, the B2B portion had a strong performance driven by meaningful subscriber increases amongst leasing customers. Conversely, the consumer portion experienced some challenges in South Africa. As you may know, South Africa experienced a few weeks of civil unrest in July, which resulted in many businesses pulling back from operations and exacerbating the near-term financial challenges faced by some consumers. This impacted our performance in the region for the first two months of the quarter before improving in September. Our expectation is for further improvement in the third quarter as the economy rebuilds. One of our key areas of focus this year is investing in our growth initiatives around product development, and our go-to-market efforts. We recently made two announcements that reflect the important progress for the business. The first is the release of our new dashboard solution, which provides enhanced embedded analytics and insights for key customers. We have long been able to support third-party visualization and analytic tools and open-platform that now users can enjoy an improved, fully integrated experience that harnesses the power of the data we collect every day. This is a great example of how we continually evolve, extend and enhanced the capabilities of our platform to provide greater value to customers. The second was the recent announcement of our collaboration with Ford. This will enable companies with Ford vehicles to subscribe to some of MiX’s premium feature services without the need to install our telematics hardware. It reduces the upfront costs, shorten sales cycles, and makes it quicker for customers to go from making a decision to deriving the benefits from our solutions. We believe only data integrations are an important evolution in the market that could eventually eliminate the need for the installation of third-party hardware in a vehicle, which would increase the contract value, level across for telematics investments and ultimately lead to accelerated growth in our space. These announcements are further evidence of our ability to invest in our strategic initiatives, while continuing to deliver high levels of profitability. Effectively balancing these two priorities is a core competency of our team, and we believe we are striking a smart balance between the two. Our investments will ensure that we are well-positioned to maximize on the significant long-term opportunity we see for our business. As we enter the second half of the year, we continue to track well against that full year financial objective of mid to high single-digit constant currency subscription revenue growth, low double-digit annual recurring revenue growth and adjusted EBITDA margins in the low to mid 20s. We are optimistic that business environment will continue to increase over the course of the year. But we are mindful of the many potential economic and public health concerns that remain real challenges for customers. We also continue to navigate the current challenges facing the global supply chain. Throughout the year, we're taking proactive steps to secure the necessary components for our core hardware products. We have ample supply for the coming months but recognize that sourcing inventory is getting harder and more expensive. Thankfully, 90% of our revenues providing recurring software services, and as such, are immune from the current supply chain challenges. Nonetheless, this is a situation that we're managing and monitoring closely. Let me wrap up by saying, we are pleased with how we have performed in the first half of the year. We are benefiting from improved market conditions and strong execution. We are on track towards delivering our full year financial objectives. And we are well positioned to accelerate growth and profitability over time. I want to thank the MiX Telematics team around the world all their hard work. I would now like to turn the call back over to John to review our financial results in more detail. John?
John Granara: Thanks, Joss. I'd now like to turn to our financial results for Q2. Please keep in mind that all figures refer to the second quarter of 2022 in all comparisons for the year-over-year changes, unless I say otherwise. As a reminder, the majority of our revenues are derived from currencies other than the US dollar. The South African rand strengthened against the US dollar compared to the second quarter of fiscal year 2021, contributing to a 9% increase in our reported revenues. Starting with the P&L, total revenue came in at $36.1 million, and subscription revenues were $30.9 million, an increase of 7.6% and 2.9% on a constant currency basis, respectively. The year-over-year increase in subscription revenue was driven by a combination of net subscriber ads and ARPU expansion. We ended the quarter with 770,200 subscribers, a sequential increase of 16,700.  The growth in subscribers this quarter was primarily driven by our premium fleet and light fleet customers. As Joss mentioned, we are seeing improving trends in these businesses. ARR, which we believe will be a more meaningful indicator of our growth this fiscal year was $128 million at the end of the second quarter, growing 2.5% sequentially on a constant currency basis. Hardware and other revenue of $5.2 million were up 56% year-over-year. We had a good hardware quarter, which was driven by large wins in recent quarters. Hardware and other revenue represented 14% of total revenue compared to 11% in the second quarter 2021. As a reminder, hardware and other revenues can be volatile quarter-to-quarter. Moving on to gross margin and operating expenses, gross margin was 63.7% compared to 66.7% in the year ago period. Subscription margin remained strong at 70.2%. As we've discussed before, we would expect our blended gross margin to be in the 64% to 66% range. Gross margins were modestly below our target range due to the higher percentage of hardware and other revenue. As Joss discussed disruption in the global supply chain and significantly increasing costs for certain components of a hardware offering. We are working through this issue but we expect to see continued pressure on hardware margins in the near-term. Operating expenses were $19.2 million, and we're up 20%. The year-over-year increase primarily reflects the return of expenses that were reduced as part of our response to COVID-19 in fiscal 2021 and the strengthening of the South African rand, which the majority of our expenses are derived from. As Joss mentioned, we are focused on making targeted investments to maximize our long-term growth opportunity and that is also reflected in our expense growth. Adjusted EBITDA was $7.9 million, or 21.9% of revenue, compared to $8.9 million or 28.7%. As we look to the second half of the year, the majority of the incremental expense for fiscal 2022 is now in our expense run rate. As a result, we expect to generate operating leverage as revenue increases in the second half of the year. Non-GAAP net income for the quarter was $2.3 million down from $3.2 million. The company's effective tax rate was 65.7% compared to 22%. Ignoring the impact of foreign exchange gains and losses, the tax rate was 38.6% compared to 28.4%. There were some discrete items that impacted the tax rate in the second quarter, but we continue to expect it will be towards the upper-end of the 28% to 30% range that we have guided to for the full year. Turning to the balance sheet, we ended the quarter with $39.8 million of cash and cash equivalents compared to $46.1 million as of June 30, 2021. In the second quarter, we generated $5.9 million in net cash from operating activities and invested $9.1 million in capital expenditures, leading to a negative free cash flow of $3.1 million. The use of cash includes investments in new vehicle devices of $6.8 million. And particular to note $2.1 million of the in vehicle device investments was related to our MiX Vision AI Solution. We have seen strong interest since it was introduced and we are proactively building inventory levels to support expected demand. We also continue to make proactive investments in inventory to build stockpiles as we manage through the supply chain challenges that Josh mentioned. A strong balance sheet enabled us to once again declare a quarterly dividend of ZAR 0.04 per ordinary share. Before I wrap up, I would like to provide some additional perspective on our expectations for the remainder of fiscal 2022. As Joss mentioned, we have performed well in the first half of the year and are on track to meet our full year financial targets. While there continues to be uncertainty in specific markets and regions, overall, we are seeing selling conditions improve. We are confident that we will see constant currency subscription revenue growth accelerate in the second half of the year into the mid to high single digit range. From an AR perspective, we are right on track to hit our full year target of low double digit ARR growth. In the first half ARR has grown 5% since the end of fiscal 2021. In terms of profitability, we are on track to deliver another strong year with adjusted EBITDA margins in the low to mid 20s. As Joss mentioned, we are increasing investments this year in our growth initiatives, we are absorbing the normalization of some costs that were temporarily reduced last year in response to COVID. We've clearly proven our scalability of our business model over the past few years. And we are very confident in our ability to expand our adjusted EBITDA margin to 30% plus over time. We are excited about the opportunities ahead for MiX and we are comfortably back to growing the business and focused on building upon our recent success. With that, we'd like to open up the line for questions. Operator.
Operator: [Operator Instructions] Our first question comes from the line of Matt Pfau with William Blair. Please proceed with your question.
Matt Pfau: Yes. Thanks for taking my questions. I wanted to first start out on supply chain and just to be clear, has the ability to source hardware impacted any deals yet? And then secondarily, you have the my MiX product, is there any ability to leverage that to help alleviate some of the supply chain challenges?
John Granara: Thank you. And so, to the first part of the question, no, we haven't had any deals yet impacted by the supply chain issues and let me also be clear that certainly as we as we see us over the coming months, we are not expecting any disruptions. The point that we're making is that, we're clearly in the midst of a global crisis and anybody who's in the electronics procurement and production industry are facing these kind of challenges. So, we are we are managing it. We all know -- what we do now, it's getting harder and it's getting more expensive. And we have to manage and navigate through the situation, the way we've done, I guess, since it began. So we'll continue to do that. As for the second part of the question, yes, we could certainly leverage the kind of benefits that we get on a hardware-free solutions. So bear in mind, however that a lot of our deals that we're doing on the premium fleet side, which encompass more than, let's call it the basic telematics service, referring, for instance, to the mixed vision AI kinds of solutions. The good news is that we are seeing strong growth in our pipeline for our top end premium solutions. And those can't be replicated by an app based service at this stage. So we'll manage the situation as best we can.
Matt Pfau: Great. And then the forward OEM integration is pretty interesting. So maybe just, you could expand on that in terms of, are other OEMs receptive to similar type collaborations? And is there any pushback from OEMs in terms of creating these kind of partnerships?
Stefan Joselowitz: So, certainly, we have a building portfolio of relationships and we've got a number that are in discussions at the moment that we would expect to announce over coming months or quarters. So we certainly see this as an important evolvement in our industry, with very positive ramifications. Because we see a world where a tailwind will develop with shortening sell cycles, where we don't have the logistics issue of rolling out aftermarket hardware in a customer's vehicle. So medium to long term, we view it as extremely positive. And in terms of resistance, I think, we -- based on our track record to date, we've been pretty successful in breaking down the credibility barrier with OEMs. The one that we just announced, a significant global operator -- vehicle provider. And it started off as a tough discussion, but our team did a great job in navigating the early parts of those discussions and they’re demonstrating that we are a important player in the space and can add value to our mutual customers.
Matt Pfau: Great. That's all I had. Appreciate it, guys.
John Granara: Thanks, Matt.
Stefan Joselowitz: Thanks for your call, Matt.
Operator: Thank you. Our next question comes from line of Alex Sklar with Raymond James. Please proceed with your question.
Alex Sklar: Thanks. John, so I actually -- I want to follow up on Matt’s question to start on the OEM collaboration. What can you tell us in terms of some of the additional data value that you can ingest into the platform, but by the OEM partnership? And I'm curious if any of the OEM deals you're talking about are going to be exclusive to mix. And then, maybe longer term, how the unit economics changed if you weren't having to put the same number of devices in the vehicles? Thanks.
John Granara: Sure. So the second part of the question around exclusivity, we don't see the process of this world evolving on a basis of exclusive data. So we would expect that these OEMs, or the OEMs, broadly, will continue to view the embedded data as an open opportunity. Having said that, they are very finicky around who they allow access to that data. So it's not an easy process. And there's a lot of quality control around it. But we don't expect it to be ultimately exclusive to anybody. So getting back to the richness of the embedded data, there's no doubt that the appeal is going -- and that is last part, the OEMs have access to everything in the vehicle or everything that they decide, it has access to. And it certainly gives us a richer layer of data over and above what we could typically access on an aftermarket installation. So there is a benefit to our mutual customers in terms of combining that data. And really the third part is, the unit economics is pretty straightforward. The we would expect that in most of these instances, we pay a fee -- a monthly fee for this data. Having said that, it more than makes up for the savings or significant hardware cost savings and logistics hassles that is a voyage both in terms of hardware costs and labor. And scheduling installations, taking a vehicle off the road, from the customer's perspective is more than made up for. So, we're very happy to pay the kind of rates that we've negotiated. For the state, the unit economics are great for us and, more importantly, for our customers. So, we certainly expect that for customers that are striving to services that require no third-party hardware, because not every -- not everyone in our services can be accessed on this basis. But those that do take it up will enjoy a higher return on investment, obviously, because of the unit economics that we don't have to amortize the cost of labor installation, et cetera, et cetera.
Alex Sklar: Okay, that's great color. So, -- and switching gears to kind of the vehicle add strength, I just wanted to kind of talk about some of the bigger drivers that you can attribute to the bookings activity. But if you were to kind of stack rank some of them between safety and environmental and ROI in training, what's really resonating right now that we're seeing the kind of subscriber growth snap back up?
Stefan Joselowitz: So, it certainly varies from customer-to-customer. And I've said this before and I'll and I'll repeat it, we -- I was very pleasantly surprised during last year at the strength of the topline that we were seeing. So, in the midst of the -- even the start of a pandemic, when there was high levels of uncertainty, we were seeing clearly some significant contraction from some of our key verticals. But at the same time, we were engaging in very exciting conversations with large fleets in a number of different verticals, in a number of different geographies. And that really has continued -- and I'll say even accelerated. And of course, now what we're seeing is we're enjoying the fruits of that pipeline. Now, I've also said before pipeline doesn't feed anybody, you've got to convert it into a paying customer. And what we're seeing is we're seeing that, as I said, reaping the benefits of that -- the seed that we planted last year, we converting some of these larger deals. We're also seeing customers getting more comfortable with the economic environment that they're operating in. So, certainly certain sectors where we're starting to see sell cycle starting to normalize. And most critically, of course, is that [indiscernible] starts. So, remember, we're reporting net subscriber growth. So, that's after we transfer contraction. And we did see the leading stock in a number of key verticals and most notably the energy sector and we even saw some green shoots of a return to a growth phase ize in the quarter that we just reported. It wasn't significant yet, but nonetheless, moving positively as opposed to negatively. So, we're pleased with that.
Alex Sklar: Okay, great. I really appreciate the color. Thanks guys.
Stefan Joselowitz: Appreciate it. Thank you.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Joss for any final comments.
Stefan Joselowitz: Thanks so much, Melissa and great job. Thanks to all of you for joining us today. We really appreciate your interest in MiX Telematics. We will be attending Raymond James' Technology Investor Conference in early December and of course, look forward to speaking many of you then -- speaking to many of you then. In the meantime, I hope you and your families remain safe and healthy and thanks again for your time and have a great day.
Operator: Thank you. This concludes today's conference. You may now disconnect your lines. Thank you for your participation.